Operator: Greetings, welcome to the Easterly Government Properties, Fourth Quarter 2021 Earnings Conference Call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note this conference is being recorded. I will now turn the conference over to Lindsay Winterhalter, Vice President of Investor Relations. Thank you. You may begin.
Lindsay Winterhalter: Good morning. Before the call begins, please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements which are not historical facts and are considered forward-looking. The company intends these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Act Reform of 1995 and is making this statement for the purpose of complying with those safe harbor provisions. Although the company believes that its plans, intentions, expectations, strategies, and prospects, as reflected in or suggested by these forward-looking statements are reasonable, it can give no assurance that these plans, intentions, expectations, or strategies will be attained or achieved.  Furthermore, actual results may differ materially from those described in the forward-looking statements, and will be affected by a variety of risks and factors that are beyond the company's control, including without limitation, those items contained -- those contained in Item 1A, risk factors of its annual report, on Form 10-K for the year ended December 31st, 2021, to be filed with the SEC on February 28th, 2022, and in its other SEC filings, and risks and uncertainties related to the adverse impact of COVID-19 on the U.S. regional and global economies, and the potential adverse impact of the financial condition and results of operation of the company. The company assumes no obligation to update publicly any forward-looking statements, whether because of new information, future events, or otherwise. Additionally, on this conference call, the company may refer to certain non-GAAP financial measures such as funds from operations, funds from operations as adjusted, and cash available for distribution. You can find a tabular reconciliation of these non-GAAP financial measures to the most comparable current GAAP numbers in the company's earnings release and separate supplemental information package on the Investor Relations page of the company's website @ir.easterlyreit.com. I would now like to turn the conference call over to Darrell Crate, Chairman of Easterly Government Properties.
Darrell Crate: Thank you, Lindsay. Good morning, everyone. And thank you for joining us for this fourth quarter conference call. Today, in addition to Lindsay, I'm also joined by Bill Trimble, the company's CEO, and Meghan Baivier, the company's CFO and COO. 2021 was another strong year for the company in the portfolio. The year was defined by a record level of acquisition volume, increased FFO per share guidance, an increased dividend, strong capital markets execution, both debt and equity, the formation of a joint venture with a leading global investor, and successful releasing efforts with our primary tenant, The United States Federal Government. We continue to rigorously maintain our investment discipline of purchasing mission-critical facilities that are early in their life cycle. We have been building this portfolio of 89 buildings for the last 12 years, and today the average life of our buildings is just 13 years.  While maintaining our focus on long-term quality, we were able to grow FFO per share in 2021, by a strong 4%. As you know, this cashflow's backed by the full facing credit of the U.S. government. While we spend a significant amount of time talking about growth through acquisition, I would like to highlight the outstanding effort that produces strong, consistent results by our re-leasing and asset management group. This team has developed a definable edge in how they work with our tenant, the U.S government, to meet their unique set of needs. As we've seen over the last 20 years, there has been groups that have built GSA portfolios and chosen to service the government with folks who are trained in operating commercial office. This is not a match.  The government must have a different set of tastes and preferences to achieve their goals as compared to our commercial tenants. Our team is steeped in understanding these unique needs with the goal of being the Private landlord of choice to the United States government. We're certain this platform creates enduring long-term value for our shareholders. Further, we are pleased that we can consistently deliver a strong dividend to our shareholders. Our cash available for distribution continues to grow and reduce our payout ratio as we emerge from a period of re-leasing in 2020 and 2021. We are pleased that this favorable reporting trend will continue through 2022.  We'd like to take a moment to thank our board. We have an exceptional group of directors who have achieved significant success in their business endeavors, and we're grateful for their enduring engagement and guidance. And lastly, I'd like to thank our investors for their support and interest in Easterly Government Properties. We'll continue to work to deliver high-quality dividends and growth from a portfolio with the highest creditworthy tenant to United States Federal Government. And with that, I'll turn the call over to Bill to further describe the activities of the quarter.
Bill Trimble: Thanks, Darrell. And good morning. Thanks for joining us for our fourth quarter earnings call. 2021 was an incredibly successful year for Easterly on many fronts. $412 million in mission-critical acquisitions. The launch for new joint venture partnership with a prominent global investor, the renewal of several leases, and the bolstering of our full-size portfolio metrics on every measure, all combined to put Easterly Government Properties in a very strong position at year-end. This is a year where our acquisition team broke all records dating back to our IPO in 2015. It was a year where we raised expectations and delivered. 2021 also saw the strengthening of our team, the new CAO, a new Head of Sustainability, and our Manager of HR and DEI initiatives. I will now break down the accomplishments and milestones.  In total, Easterly completed either directly or through its new JV, 12 accretive acquisitions, totaling approximately $412 million at a weighted average acquisition cap rate of 6% for the year. The weighted average remaining lease term of these 12 buildings is 16.6 years, assuming all options are exercised, further demonstrating the long-term cash flows and stability of these assets. All 12 buildings are either build-to-suit or renovated to suit for the underlying tenant agency. We've said it before, but the successful accomplishment of mission is the guiding requirement for agencies. And the ability of our facilities to aid that mission, is why we have seen such a strong renewal profile since our predecessor fund, bought its first building in 2010.  A highlight of our acquisition teams accomplishments in 2021, was the successful announcement in subsequent initial closings on a brand-new, state-of-the-art, 1.2 million square feet, 10 building portfolio, leased entirely to the Department of Veterans Affairs. To date, we have closed on 4 of these 10 properties, and expect to acquire the remaining properties during 2022, and 2023. This unique portfolio, a natural addition to our growing organization, provided a perfect opportunity for the creation of our joint venture with a Global Asset Allocator who understands the enduring nature of these assets and the meaning of full faith and credit, with a weighted average lease duration of 19.6 years. This portfolio only further differentiates us from any of our private competitors.  As previously mentioned, this portfolio materially reduces the average age of our already young portfolio and extends its weighted average remaining lease term. We were pleased to add to our cash flow to investors for the long term, while opening new strategic opportunities in the future. At this time, the JV is limited to adjust these 10 properties, but we look forward to further conversations. In addition to the 4 VA outpatient facilities acquired by the JV in the fourth quarter, Easterly acquired a nearly 500,000 square-foot facility, primarily leased to the United States Citizenship and Immigration Services, or USCIS, located in the metropolitan region of Kansas City, Missouri.  The total weighted average lease expiration date of February of 2036, and this property serving as USCIS National Benefits Center, we believe the long-term tenancy in this facility is predictable. Finally, in the fourth quarter, Easterly acquired an 80,000 square foot leased, VA outpatient clinic located in the Midwest region of the United States. VA Midwest is a build-to-suit outpatient clinic that was recently completed in 2021. The state-of-the-art two Green Globes certified facility is leased to the VA for an initial non - cancelable lease term of 20 years, that does not expire until May of 2041. The outpatient clinic provides a wide range of medical and ancillary services including, but not limited to, primary care, mental health, audiology, optometry, dermatology, radiology, and prosthetics.  On our development status, we have previously reported that the government has reached a determination on its new program requirements for the future FDA Atlanta Laboratory Development project. The GSA and the FDA have spent the past several months working together to ensure maximum benefit from this facility and we are pleased to reengage with the government and actively proceed with next steps. Since the time of our last call, Easterly has proceeded with the redesign of the project in collaboration with the FDA and the GSA and completion of the project is now anticipated in the second quarter of 2024. Turning to leasing updates, our asset management team continues to secure meaningful renewals that lengthen the duration of cash flows. In the fourth quarter, we renewed the small business administration or SBA lease in a multi-tenanted facility located in Buffalo, New York.  With a lease commencement date of August of 2022, Easterly can proceed with tenant improvement work in advance of its start date. Once the new lease commences, a brand new 17-year term, 15 years strong, will begin that can take SBA 's tenancy into August of 2039. This renewal, combined other assets year-to-date, translates into nine successful re-leasing exercises, totaling approximately 574,000 square feet or just under 7% of the annualized lease income for a weighted average lease term of 16.2 years in 2021. In closing, we at Easterly had a very productive last quarter of 2021, including another strong year for the company. We have meaningfully and assertively scaled the Company's portfolio through the acquisition of bullseye assets.  We executed on our highest acquisition volume year on record as a public company. We have formed a new joint venture with an experienced global partner, and we have even further refined our investment discipline of owning assets primarily backed by the full faith and credit of the United States government. With that, I thank you for your time this morning, and I'll turn the call over to Meghan to discuss the quarterly and year-end financial results and capital markets executions.
Meghan Baivier: Thank you, Bill. Good morning, everyone. It gives me great pleasure to report another strong quarter, in closing a very successfully year here at Easterly. As of December 31st, we own 89 operating properties comprising approximately 8.6 million leased square feet, either wholly on or through our joint venture with one additional development project in design, totaling approximately 162,000 square feet. In 2021, we acquired 12 properties and sold 2. Through the acquisition of newer facilities and strategic disposition of non-core assets and the successful long-term renewal of existing property, the weighted average age of our portfolio remains young at 13.6 years, and the weighted average remaining lease term has grown to 9.7 years. Turning to our quarterly results for the fourth quarter, all on a fully diluted basis, net income per share was $0.08, FFO per share was $0.33, and FFO as adjusted per share was $0.32.  Our cash available for distribution was $26.3 million. For the year ended December 31st, 2021, all on a fully diluted basis, net income per share with $0.36, FFO per share was a $1.31, and FFO as adjusted per share was $1.24. Our cash available for distribution was $100 million. At $1.31 per share on a fully diluted basis, Easterly delivered at the stated midpoint of its previously increased guidance. This represents an impressive 4% growth rate year-over-year. When coupled with a roughly 5% dividend yield, we believe Easterly presents a unique opportunity for investments to receive our robust current yield, backed by the full faith and credit of the U.S. government, alongside long-term inflation protection.  On that note, let me take a moment to remind those on the call that while the typical GSA lease does not provide for Chevron bumps, it does contain and operating expense base, which protects us as landlords from bearing the burden of increased operating expenses, and that's diminishing in ally in an inflationary environment. Turning to the Balance Sheet at quarter-end, the company had total indebtedness of approximately $1.2 billion with nearly full capacity on our line of credit for future acquisitions and development-related expenses. As of December 31, Easterly's net debt to total enterprise value was 34.1%, and its adjusted net debt to annualized quarterly proforma EBITDA ratio was 6.7x., With the weighted average debt maturity of 6.7 years and 97.5% of all outstanding debt fixed at attractive level, I am particularly pleased with our company's positioning as we enter potentially rising rate environment.  On the debt side in the fourth quarter, Easterly issued the previously announced $250 million principal amount of fixed rate senior unsecured notes. The notes were issued and sold in two tranches. Series A senior notes in the amount of $50 million with a 7-year maturity, and Series B notes in the upsized amount of $200 million with a 9-year maturity. Together the weighted average maturity of these notes is 8.6 years, and the weighted average interest rate is 2.84%. We believe raising long-term unsecured debt as such an attractive weighted average rate, and maturity is an extremely powerful tool in generating value for shareholders.  In terms of equity, during the fourth quarter, Easterly is just under 4 million of the 6.3 million shares the company sold on a forward-basis, in connection with an underwritten public offering that took place in the third quarter at a net price to the company of $21.64 per share. But the settlement of these shares in the fourth quarter, Easterly received approximately $85 million in net proceeds delivering the funding needed to continue pursuing our acquisition pipeline at levels that are accretive to shareholders. At present, Easterly expects to receive net proceeds of approximately $102.7 million from the sale of an aggregate 4.7 million shares of the company's common stock that have not yet been settled, including the remaining 2.3 million shares pursuant to the company's third quarter underwritten public offerings and 2.4 million shares from sale under the company's $300 million ATM program.  Assuming these forward sales transactions physically settled in full using a net weighted average combined initial or sales price of $21.87. Finally, in the fourth quarter, Easterly announced the formation of a joint venture in connection with the agreements to purchase ten assets that we referred to as the VA portfolio. As mentioned on the last call Easterly's JV partner will retain a 47% stake in the JV and Easterly will retain a 53% stake in the JV. Easterly will also receive asset management fees from the JV partner and will be responsible for the day-to-day management of the property. This relationship with our new JV partner, we believe, demonstrates the global interest in the outside current yields of GSA assets like those in the Easterly portfolio, yields which are backed by the strength and stability of the U.S. government cash flows that underpin each release credit quality.  We are excited by the partnership and look forward to a strong, mutually beneficial relationship for many years to come. Turning to renewal, I would like to highlight some of our releasing successes as of year-end. As previously mentioned, due to the unique nature of our leases, final renewal rent cannot be ascertained until the exact amount of tenant improvement or TI dollars required by the government at renewal is known and the TI work is complete. As such, there can be a lag in providing releasing data relative to the point at which we have signed a renewal lease. As of December 31st, 2021, we had executed 12 renewals for which the renewal TI work was complete and accepted by the government.  This 12 includes PTO Arlington, and IRS Fresno. When we exclude PTO Arlington and IRA Express note, the average rent spread achieved on the remaining 10 renewals with 10% including approximately $22 per foot of TI utilized by the government. The average total renewal term for these 10 renewals leases was 15 years. I can also share, that we currently expect our single-tenant old properties that have renewed, but for which the new lease has not yet commenced, or for which it has commenced, but the TI has not yet been accepted by the government to realize an average renewal rent spread of 10% to 15%. The group of assets totaled roughly 346,500 square feet across seven properties, and each  for total lease terms of 15 years to 20 years, with an average of 16.7 years.  In addition to these both renewals, we executed either renewal options or long-term extensions across 713,250 square feet of our portfolio. We look forward to working with the GSA upon the exploration of these assets between years of 2023 and 2026. Finally, with approximately 341,900 square feet and six leases expiring through the end of 2022, we are pleased to report we're making meaningful progress with the GSA, and we're in discussions regarding all properties at this time. We feel good about the long-term mission and tenancy of these upcoming both higher expirations. Turning to our earnings guidance, as you recall, during the last quarter call, there were questions surrounding acquisitions within the JV and those outside of the JV. To provide further clarity, the company is maintaining its FFO guidance per share on a fully diluted basis in a range of $1.34 to $1.36 but expanding its disclosure surrounding the assumptions underlying this guidance.  This guidance is predicated upon $200 to $250 million of wholly owned acquisition. the closing of properties in the VA portfolio totaling approximately $145 million at the company's pro rata share, and up to $10 million in gross development-related investment during 2022. At its midpoint, Easterly remains on track to continue our record of steady FFO growth year-over-year. With that, thank you for your commitment to our thesis, and we appreciate your partnership. I will now turn the call back to Sherri.
Operator:  Our first question is from John Kim with BMO Capital Markets. Please proceed.
John Kim: Thank you. Good afternoon. Or good morning. Meghan, your guidance for FFO was unchanged, but you did increase the acquisition guidance to $370 million including the JV assets. Were there other components of guidance that changed to offset that acquisition target?
Meghan Baivier: So, John, what that's indicative of is deals that we had expectations could have closed that last year but will now be closing in 2022. So, it's not fully -- forward. It's deals that moved from '21 to '22.
John Kim: And you talked about the leasing spreads being 10% through 2021 in 10% to 15% on leases that have not yet closed, but I'm wondering how that compares to market rents. If you signed two non-GSA tenant, would you have done a higher leasing spread?
Meghan Baivier: As you know John, rates of renewal put it in GSA market and particularly within our assets are decoupled from "office market rents " in the markets where we operate. It's really an exercise in replacement costs for that asset. And obviously we have that within our backs, particularly today. And then the inflationary environment, we see they kind of shelve themselves. It's really apples and oranges. And we think about our renewals in that context.
John Kim: And how does inflation -- the current inflation environment and impact those discussions on lease is expiring this year?
Meghan Baivier: I mean, it's a great backdrop. I think everybody in the room of a renewal process understands the current dynamic and when you truly are faced in most instances with the alternatives being a new bill, time is on our side.
Darrell Crate: Just to put a point on that. Inflation is one of the dynamics that the government does understand. So often, our conversations, we have -- we're very focused on the commercial net present value IR numbers related to our assets. They are very focused on mission. Inflation is something where they understand that that has an impact on value. And I can't emphasize enough how many challenges the government's having across the board with construction costs and needing to relocate projects. So, I think that it's one of these few times where there's news in the market that is seen the same way by both parties.
John Kim: So, Darrell, do you think the GSA is open to having leases that have a higher leasing spread, so implying more than 1% growth per annum?
Darrell Crate: Well, I think that we can't know what's in the mind of the GSA, but we certainly know that when we're signing a lease today, that we both understand that inflation is maybe ahead of us, and we're -- it's a constructive conversation. We'll see how it turns out.
John Kim: Great. Thank you.
Operator: Our next question is from Michael Carroll, with RBC Capital Markets. Please proceed.
Michael Carroll: Yes. Thanks. I wanted to talk a little bit about the company and sustainability goals. I know with -- you mentioned this in your prepared remarks, that you recently hired a new Director of Sustainability. How does DEA look at advertising it's ESG initiatives? I know that there has been a report online highlighting what you currently doing, but do you plan on having a more of a formal report that you're going to publish every year, like a lot of the other ?
Meghan Baivier: Hey, Michael. Good morning. Yes, we're very excited to have hired a Director of Sustainability. For a company of our size to be at that place is an exciting moment. We have consistently been focused on the Energy Star framework. And that's the framework the government pays closest attention to. And we, obviously, have our portfolio in the Energy Star tracker. We report within that framework, but our new Director of Sustainability is very much focused today on great baselining within the company as we begin to set goals. And yes, it will absolutely be our expectation to have a formal sustainability report as early as next year.
Michael Carroll: Okay. Great. And then can you talk a little bit about for the type of goals that you want to set. I'm assuming that if you're just starting to baseline now, then setting those goals are still multiple years away, how are you thinking about that?
Meghan Baivier: No, it's not years away. I would say it's 2022 priority, and we'll inform how we come out in our report for 2023.
Michael Carroll: Okay. And then how much type of information does you get from the government? Do you get all the necessary information on the environment from their type of buildings like energy usage and things like that? Are there any difficulties getting that data given the leases that you have?
Meghan Baivier: No, we don't face the same difficulties that triple-net read with base. No.
Michael Carroll: Okay.
Meghan Baivier: We do have access today.
Michael Carroll: And then just last one for me, can you talk a little bit about the FDA Atlanta buildings? What's the progress on that? And is there any idea of when that could officially break ground?
Meghan Baivier:  earlier really come to play here with FDA Atlanta right there. They're all on the construction side, facing the reality of inflation and finalizing their tenant improvements budgets and that spend -- That's been the story for FDA Atlanta as well. We are at good inflection point. We believe with the government and have moved that commencement date in the middle of 2024 breaking ground -- Or haven't been breaking ground but continuing to really put dollars to work closer to the end of this year and into next year, you can see our budget for this year is $10 million to spend.
Michael Carroll: Okay, great. Thank you.
Operator: Our next question is from Emmanuel Korchman with Citigroup. Please proceed.
Emmanuel Korchman: Hey, good morning. Just thinking about the comments you've made thus far on increasing costs, maybe more tactful negotiations, etc. Has that changed the competitive landscape out there? Are other developers either finding it easier or harder to make their deals pencil out?
Meghan Baivier: I think the -- there's a small set of folks who even traffic in the development stage within the U.S. government requirements and then say, it hasn't changed that landscape maybe, that's a particular skillset, just like ours is within the asset management side of the business, but it certainly has traded a sharpening of pencils rate at folks are bidding these deals and responding to our RFPs. It hasn't broadened .
Darrell Crate: But, I think, it was very helpful for folks who aren't as immersed in our company as you are. Fundamentally, you step back and the value -- the government really has two alternatives, which is, to renew our building or go build a new one. And when you look at a new building and our accumulated depreciation in our building is essentially our edge. Because it's there, it's working. We work very hard to keep the tenant happy, the agency happy, back in Washington, and the GSA who's in charge of doing all of this. As we look forward, it is very clear that construction costs are getting higher and that factors into our negotiation.  When we look at new builds out there, there is -- clearly there's less certainty about future construction costs, which would again, you can only imagine that contractors are not going to be able to build -- to give a guaranteed price today with very thin margins. The volatility in those construction costs is our friend, and construction costs generally is the friend of our portfolio.
Emmanuel Korchman: Great, Darrell. Thank you. And then maybe this one's for you as well. But just -- there has been a little bit more price on the government pushing bring people back to offices. I think that's a little bit less relevant maybe for your direct agency relationships, but have you seen any change in either the usage of the buildings or renewed conversations that maybe one on the halt while people just weren't using the office space?
Bill Trimble: Yeah. Emmanuel, good morning. It's Bill. I think it's obviously overall positive. However, as you know, our buildings are mission-critical and the folks in those buildings have really been working throughout the entire pandemic. Having said that, I think that we are seeing more interest in some facilities for potential expansion in the future, and so I would say all the winds are blowing in the right direction. Our buildings are busier than they've been and will continue to do so. So, I think it's been a great place to be, and I think the government has also realized that it is very, very difficult. And I'm talking about more of the plain vanilla missions because as most -- as you know, most of our missions are mission-critical. But on those other missions that it's hard to do it from home, it's very inefficient. And they too have realized to conduct the mission, they're going to have to execute that from their offices.
Emmanuel Korchman: Thanks, all.
Bill Trimble: Sure.
Operator:  Our next question is a follow-up from John Kim with BMO Capital Markets. Please proceed.
John Kim: Meghan, you mentioned the increased accurate acquisition guidance in 2022 reflects some delays that you had from last year, but last year you did exceed your acquisition guidance as to kind of $50 million. So, I'm just wondering what if there were any other offsetting factors to that increased acquisition guidance this year that wouldn't impact your FFO guidance.
Meghan Baivier: Yeah, I think we would have exceeded our number last year by a larger amount, John to know. Outside -- expectations outside of the joint venture have not changed.
John Kim: And what -- so where do you see cap rates on the targeted acquisitions this year?
Bill Trimble: Well, I think John, it's been an interesting market. I can tell you that certainly, even though we're seeing the turn in interest rates going up, nobody has hurt us in the GSA space. There's a lot of money coming in and I think they're continuing to be compressed. As you know, on this pristine building portfolio that we just purchased was at 5 and a 1/4 cap. I think we are trading more to six and a quarter cap. So, there's a big gap right there and I think the private markets are valuing these buildings and I think they can do that through the utilization of leverage, which obviously makes a lot of sense when you're considering the counterparties, the United States Federal Government. So, I think that's -- I think we are seeing a continuing move down in cap rates in this area. However, we are always opportunistic, and we do only accretive transactions and we're very pleased to have our global JV partner assisting us with some of those transactions. So, we're being nimble, but it is a different game out there.
John Kim: And Bill, the set of assets, are you willing to do those on Balance Sheet or strictly through the JV?
Bill Trimble: Well, it depends. The bottom line is accretive, John. And so, it just depends which part do they fall into. I think if you see some of these  new buildings, they're even talking under five caps for them, so we're aware of that, and we have the capability of executing on those. But obviously, we'll do it on Balance Sheet when the property fits that bucket -- clearly two buckets.
John Kim: Great. Thanks for the follow.
Operator: We have reached end of our question-and-answer session. I would like to turn the conference back over to Darrell for closing comments.
Darrell Crate: Great. Thank you everyone, for joining the Easterly Government Properties fourth quarter 2020 conference call. We appreciate your time, and we'll continue to work hard to deliver strong risk-adjusted returns for our shareholders for years to come.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.